Operator: Good afternoon, everyone, and welcome to the POSaBIT Systems Corporation Third Quarter 2025 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Oscar Dahl, Chief of Staff at POSaBIT Systems. Oscar, the floor is yours.
Oscar Dahl: Thank you, operator. With me on this call are Ryan Hamlin, Chief Executive Officer; and Emily Egan, Senior Corporate Controller. I would like to begin the call by reading the safe harbor statement. This statement is made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. All statements made on this call, with the exception of historical facts, may be considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Although the company believes that expectations and assumptions reflected in these forward-looking statements are reasonable, it makes no assurances that such expectations prove to have been correct. Actual results may differ materially from those expressed or implied in the forward-looking statements due to various risks and uncertainties. For a discussion of such risks and uncertainties, which could cause actual results to differ from those expressed or implied in the forward-looking statements, please see risk factors detailed in the company's annual report and subsequent filed reports as well as in other reports that the company files from time to time with SEDAR. Any forward-looking statements included in this call are made only at the date of this call. We do not undertake any obligation to update or supplement any forward-looking statements to reflect subsequent knowledge, events or circumstances. The company will also be citing adjusted EBITDA, adjusted revenue and adjusted gross profit in today's discussion. Adjusted revenue, adjusted gross profit and adjusted EBITDA are non-IFRS measures used by management that do not have any prescribed meaning by IFRS and may not be comparable to similar measures presented by other companies. The company defines adjusted revenue as gross revenue minus license support revenue plus actual licensing cash received as part of POSaBIT's licensing deals. The company defines adjusted gross profit as adjusted revenue less company cost of goods sold. The company defines adjusted EBITDA as net income or loss generated for the period as reported before interest, taxes, depreciation and amortization and further adjusted to remove changes in fair values and expected credit losses, foreign exchange gains and/or losses and impairments. The company believes these non-IFRS measures are useful metrics to evaluate its core operating performance and uses these measures to provide shareholders and others with supplemental measures of its operating performance. The company also believes that securities analysts, investors and other interested parties frequently use non-IFRS measures in the evaluation of companies, many of which present similar metrics when reporting their results. We caution that adjusted revenue, adjusted gross profit and adjusted EBITDA are not substitutes for gross revenue, gross profit or profit loss, respectively. Now I would like to turn the call over to Ryan Hamlin, Chief Executive Officer. Ryan, please proceed.
Ryan Hamlin: Thank you, Oscar, and welcome, everyone. As a reminder, all the numbers that we'll be talking about today in the call are in U.S. dollars. Q3 was another great quarter for POSaBIT. We continued our focus on growing recurring SaaS revenue, which provides more predictability quarter-over-quarter and derisks our overall business. We also grew our cash on hand by nearly $0.5 million this quarter, all while still paying down our accounts payable by 41%, which represented about $400,000 in aged payables. The team is executing on all cylinders, and our customers are very happy. We look forward to continued growth this year and the years to come. Now let's jump into a few of the key highlights in case you missed the press release that just came out. We had our first nearly $1 million adjusted EBITDA quarter in the history of the company, coming in around $970,000, a growth of over $150,000 in adjusted gross profit, which resulted in an 87% adjusted gross profit margin versus 77% last quarter in Q2, again, another record for POSaBIT. Our recurring SaaS revenues increased 22% in Q3 versus Q2. This demonstrates the focus and success we have had on growing our point-of-sale and our e-com menu business. And lastly, as I mentioned, cash on hand grew quarter-over-quarter by nearly $0.5 million, ending at over $1.2 million. And we still, as I mentioned, paid down our payables by $400,000. I said this on the past calls, and I'll say it again, if you hear anything on this call, the theme is this, POSaBIT is profitable, we are growing, and we're continuing to put more and more cash in the bank. Now I want to update you on a couple of other key points that happened this quarter. Our focus certainly remains on growth around our main recurring revenue product lines, our point-of-sale and our e-com business. Both of these businesses have been very healthy and continue to grow, not only in our home state of Washington, but continued steady growth in Oregon, New Mexico and now new markets on the East Coast. We are running the same playbook that got us to 90% of all retail transactions in Washington State going through the POSaBIT POS. We continue to see the trend where more and more retailers are looking to one company to provide the majority of their software needs. The point of sale is the engine and the hub for all retailers. We're pleased to see our POS base add the new POSaBIT e-com menu, the POSaBIT loyalty program, online order management and much more. While many retailers take advantage of all of POSaBIT's all-in-one solution, we also provide up to 60 different companies that have integrated with POSaBIT. This choice is one of the key reasons so many of our retailers like POSaBIT. Now I'm going to turn it over to Emily Egan, our Senior Corporate Controller, to dive a little bit deeper into our Q3 numbers. Emily?
Emily Egan: Thank you, Ryan. I'm going to share a review of the 3 months ended September 30, 2025, as compared to the same time period last year, 2024. Q3 total revenue was $2.3 million, down from $3.8 million third quarter last year. The decline was entirely expected and relates to the relationship change of legacy payment processing revenues as discussed in more detail over the last quarters. Meanwhile, our point-of-sale and e-com menus, as Ryan explained, continue to grow steadily. Our customers are happy. This shift is exactly what we've been targeting, a business that is smaller on the top line but significantly more profitable. Gross profit came in at $1.9 million, representing an 81% gross margin, up dramatically from 43% same period last year. This margin expansion reflects the positive impact of our processor transition and continued growth in our recurring software revenue. On the expense side, we maintained our focus on cost discipline. Operating expenses were $2.3 million, down 33% from Q3 of last year. This was primarily driven by lower professional fees, lower overall employee costs and continued reduction in share-based comp. All of this translates to record profitability for the quarter. Adjusted EBITDA, again, was $970,000, our highest ever and a major milestone for POSaBIT. While we reported a small net loss of $596,000, that represents a 70% improvement over last year and reflects strong underlying operating leverage. From a balance sheet perspective, cash on hand, as Ryan said, increased to $1.2 million. That's up from just about $1 million at the end of the year and $800,000 from last quarter, plus we reduced our aged payables by over $800,000 year-to-date, further strengthening our financial position. And our debt balance remained stable at about $4.5 million. As Ryan pointed out, Q3 was a continuation of the momentum we've built this year, improving profitability, expanding margins and adding cash to the balance sheet each quarter. Way to go team POSaBIT. With that, I'll hand it back to Ryan to wrap up the call.
Ryan Hamlin: Thanks, Emily. I just want to share a couple more final thoughts before we wrap the call up and answer some of the investor questions that were sent in to us. I think you're seeing a trend here. POSaBIT is financially healthy, and we are growing. Our products are winning in the market, and our customers are loving what we're doing for them. We're now in a position where we can actually start to make a few more investments to drive new revenue opportunities. As we head into 2026, you'll hear more from us on some very exciting new product offerings that will expand our target market and grow our revenue. While we will invest, we'll do so very carefully and fiscally responsible. I'm really looking forward to coming back in early 2026 and announcing some of these very exciting new opportunities our team has been working on for the last many months. There are more good things coming for POSaBIT in 2026 and beyond. One more thing on our future. I know I've said a version of this time and time again, but it bears repeating. POSaBIT is set up for tremendous future success. The cannabis industry is still relatively in its infancy. We look at our competition and can honestly say that we are incredibly well positioned for the years to come, especially compared to the rest of the cannabis industry. Cannabis will someday become federally legal, banking regulations for cannabis providers will soften. All that is inevitable. And once it does, we plan on making our shareholders very, very happy. With that in mind, as always, thank you for being a loyal shareholder of POSaBIT. The stock price clearly does not reflect the true value POSaBIT has. Unfortunately, the small markets like the CSE make it difficult with day traders and very much low volume. The Board is committed to finding a solution. In the meantime, we will stay focused. We will continue to execute, and we'll keep generating a profit. And we trust that someday investors will once again realize the full potential of what POSaBIT really is. So thank you for your time today. I'm going to turn it back over to Oscar, who is going to ask some of the investor questions that came in.
Oscar Dahl: All right. First question, Ryan. I have faith that the company can survive somewhat intact over the coming couple of years that things will work out quite well. Can you address any liquidity issues over the next year or so? If I recall correctly, the licensing deal, which has been bringing in decent cash, is expiring soon if it hasn't already.
Ryan Hamlin: Yes. Thanks for sending that question in. And I'll just address the licensing deal upfront because you're right, we have a licensing deal that we licensed our POS, and it's been a great deal for us. We still have about another full year of what I'll call the larger payments coming in. But I want to make sure everyone understands, and investors understand that even when those larger payments and the licensing deals slow down and stop, there is an ongoing residual to perpetuity on the number of active terminals. So cash will continue to be generated from that deal even after some of the larger payments go away. So #1, the licensing deal has more time and residuals will continue. The other point that I always like to talk about liquidity is just look at our cash. I mean we just put $400,000 of cash growth into the bank quarter-over-quarter. And if you look at the $400,000, we paid, technically, our cash grew $800,000, right? So we're growing our cash, which is great. And then last, debt is going down. We're paying off our debt. So the 3 variables that I think are most important for liquidity are, is the cash going to continue to come in? Yes. Is POSaBIT growing in new opportunities? Yes. Are we putting cash away? Yes. And is the debt going down? Yes. So from a liquidity standpoint, I feel great about where the company is.
Oscar Dahl: Cool. All right. Second question, how do you see a meaningful and continued return to gross profit dollar growth?
Ryan Hamlin: Yes. So obviously, they sent this question in before the investors saw that we actually did grow gross profit dollar growth quarter-over-quarter. In fact, we grew over $150,000. So we are putting meaningful growth in our gross profit dollars. Again, like I just referenced, cash is increasing, and debt is going down. The other really important point, and we highlighted it in the press release, is that our existing SaaS-based products, our POS and our e-com business grew 22% quarter-over-quarter. So we're becoming much more predictable because we have a continuous stream of MRR and ARR coming in versus some of the volatility years ago we had where it was primarily payments revenue based. So we've made that transition successfully and now I can actually say the majority of our revenue is now coming from our MRR -- our SaaS business.
Oscar Dahl: All right. And the final question, why did you stop posting new stories about POSaBIT around 2023? I've shared my enthusiasm with friends recently. And when they look at POSaBIT, it looks like the company has done nothing for 2 years.
Ryan Hamlin: Yes. Well, we have been doing a lot over the last couple of years. But what we haven't done as much is post a bunch of PR and IR. And if we look back over the years, we have literally spent tens of thousands of dollars, if not 6 digits on IR and PR work, and it just doesn't pay off right now. It's frustrating because we would love to see the direct results if there was a lot. We pour a lot of money into PR and IR, and we see it reflected in the stock price, but that just didn't happen. So while we got healthy in nature to the prior question about liquidity, we looked at every expense, and this is one of the expenses we just felt like the ROI wasn't there. So we cut it back. Now does that mean we're not going to do it ever again. No, we will. And we'll start to do a little bit more, particularly on the IR side, we're speaking at conferences and a few more things over the next probably 6 to 12 months. But again, the top line message here is we got to be smart with our cash, and we just didn't see the return throwing a bunch of money at PR and IR right now. So I think that's it for questions. So I can turn it back over to the operator.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time and have a wonderful day. We thank you for your participation.